Operator: Abrupt start
Hogni Jakobsen: …operations and outlook. In this quarter Bakkafrost had revenues of DKK 1.9 billion, a group operational EBIT of DKK 505 million. Our harvest in the Faroe’s increased by 4,600 tonnes compared to same quarter last year and was 19,000 tonnes in total. Harvest in Scotland was 6,300 tonnes, a 1,000 tonnes less than last year. In our fishmeal, oil and feed department, feed sales were up with 4,300 tonnes to around 31,300 tonnes. Fish, external sale of fish oil was nearly none, 1 tonne compared to 4,300 tonnes last year. External sale of fishmeal also reduced to 3,600 tonnes compared to 13,000 tonnes last year and sourcing of marine raw material was 110,000 tonnes compared to 137,000 in the same quarter last year. Cash flow from operations were positive with DKK 590 million and all segments had positive EBIT. On the AGM end of April it was resolved to pay out DKK 8.44 per share in dividends for last year. That will be paid out around 21 May. Moving on to markets and sales and beginning with the price development in the quarter on the global markets. The average price in this quarter was NOK 92.73 per kilo for 4 to 5 kilos of superior salmon which was 16% lower than last year but 15% higher than previous quarter. Prices were high around Christmas and also continuing into the beginning of this year but dropped quite dramatically in early January and has been following a downwards trend since then. Prices were affected by increased overall global supply but also materially by the improved biology in Norway with less downgraded fish and more large fish coming to market. In fact, the Norwegian supply of whole fish increased by 38% in this quarter and as a result overall prices were suppressed and the price premium for large fish also reduced. According to the latest updates from Kontali, global sales volume increased 5.3% in this quarter compared to last year. If we look at the largest markets, sales to Europe increased by 13,000 tonnes or around 6% which was less than half of the increase in European supply or supply from European producers. Sales to the US also increased 6% which was significantly above the American supply increase, leading to higher share of imports from or higher imports from Europe. We had strong growth in sales to China which increased almost 26%. Latin America dropped 7%, a development that seems to have changed in April and May. If we look at the harvest figures for the quarter, overall harvest, global harvest increased 8.4%. If we then include inventory movements, then the supply to the markets increased 5.3%. The growth was mainly driven by Europe where the harvest increased 13%. And again Norway played a significant role in this with a 13% supply increase driven by higher seawater temperatures and better growth and as mentioned before, lower biological issues compared to last year. Average weights in Norway were up by 1.5% approximately, feed sales up 30%. In Scotland we had a 10% improved or increased harvest volume driven by improved biology, 10% increase in feed sales and a 4% to 5% increase on average weights. For Bakkafrost operation in Scotland, we delivered an increase in harvest weights of 44% delivering 6.7 kilo fish on average. In the Faroe’s, volume growth was 20%, very much driven by all the investments that have been made in producing more large smolt starting to show up as volume increases. Biology in the Faroe’s was strong. Producing large fish, increase in feed sales of 24%. In the Americas, harvest increased by 1% driven by Chile which was 4% up. Also there we saw increased feeding of 15% to Atlantic salmon. Canadian harvest was down by 15%. Then moving on to financials and starting with profit and loss for the group. Revenue in the quarter decreased to around DKK 1.9 billion. Operational EBIT as mentioned before DKK 505 million compared to DKK 710 million last year. We had fair value adjustments of negative DKK 376 million driven by the lowered salmon prices. Revenue tax in this quarter was DKK 79 million compared to DKK 112 million in last year. Net profit after tax was minus DKK 6 million. This translates into adjusted earnings per share for the quarter of DKK 4.39. Moving on to the balance sheet, since yearend, we have increased our property, plant and equipment by DKK 140 million to around DKK 6.9 billion. Fair value of biological assets was DKK 2.77 billion and inventory have increased by DKK 138 million in the quarter to DKK 809 million. This is mainly driven by buildup of inventory of fishmeal which is normal in the first half of the year where the sourcing is at highest. Receivables amounted to DKK 819 million cash equivalents to DKK 250 million and the equity ratio at the end of the quarter was 62%. Moving to cash flow, cash flow from operations were positive with DKK 590 million. Cash flow from investments negative with DKK 304 million and from financing negative with DKK 516 million which leaves or makes up a net change in cash of minus DKK 230 million. In this quarter we have reduced our net interest bearing debt from DKK 3 billion to around DKK 2.8 billion. And at the end of the quarter we had undrawn credit facilities of DKK 2.6 billion. And now I will hand over to Regin to take you through the operation and outlook.
Regin Jacobsen: Thank you very much, Hogni. What a quarter starting with SEK 130 per kilo and ending with SEK 85, a drop of NOK 45 per kilo in a quarter or something like that's not seen I guess in the first quarter ever in a quarter where we expected high prices. Well, let's start with the FOF segment, the FOF segment had strong feed sales but reduced sales of fishmeal and oil. We were building up inventories during the quarter of fishmeal and oil for using later in the year. The sourcing of marine raw materials was 20% lower than the first quarter last year, 110,000 tonnes. That said, as we speak today, we are on same level as last year, 220,000 tonnes. So we have cached up during April or during the last six weeks at 220,000 tonnes. Feed sales are 16% up in the year to 31,300 tonnes. External sales of fishmeal and oil are low in the quarter. The operational EBIT for the FOF segment was DKK 65 million versus DKK 177 million last year, 63% down mainly due to the reduction of external sales of fishmeal and oil. The margin was 13% compared with 24% which relates to the same. The market price on fish, oil increased during December and January but has dropped below November price tag and fishmeal prices are more or less flat. Vegetable ingredients have trended slightly up. So all-in-all raw materials for feed are generally lower than one year ago, which is positive for feed cost in ‘25. The Freshwater segment in Faroe Islands is continuing to deliver strong operations. We are ramping up the operations in the capacity utilization and new production records continues in this segment. In this quarter, we transferred smolt from the hatcheries to the marine farms, 52% up 3.2 million fish from 2.1 million last year. Feeding in the hatcheries are 50% up, which is also a clear indication that the growth in the hatcheries is strong, supporting good growth of the supply or transfer of smolt going forward. For the full year, we have guided on 18.5 million fish to be transferred from 17.1 million last year. The average weight of the transferred smolt in the first quarter was 421 gram from 410 gram last year. The operation has been quite promising with high quality robust smolt which is one of the important drivers to reduce risk and drive the productivity going forward. The operational EBIT more than doubled to DKK 56 million from DKK 22 million last year. The margin increased to 37% from 22% last year. And in the graph here below we see some of the internal numbers on size of transport fish which are increasing per month over the last two years. And then we also see the growth which is the feeding, which is up. And we see that the transfer goes from 450 tonnes up to 800 tonnes in average per month in the first quarter. So all-in-all, a good indication of a healthy operation. In Scotland in the freshwater, we are continuing the ramp up to transition to produce large high quality smolt Applecross and transfer these to the marine farms. Phase 5 is now in operation and all the remaining part of the construction will be done this year. That will improve the biosecurity in Applecross. As we scale up the production this year and gradually replace legacy fish in our marine farms, we will expect a fundamental transformation of the farming operation in next year and onwards. In the first quarter numbers are relatively low. Only 600,000 smolt transferred 0:14:22.8 versus 1.6 million last year. The average weight of the transferred smolt is only 169 gram. However, the transferred smolt from Applecross are 232 gram. So there are -- there were still some external fish transferred. And for the full year, we expect 10 million fish all-in-all, also including the external fish at about 200 gram. And of course with low operation and low transfer net impact the operational EBIT which was only DKK 1 million versus minus DKK 34 million last year. The graph below demonstrates the change to healthy robust smolt which is the green color and the red columns indicate what is left in the water of legacy fish. The farming in the Faroe Islands harvested 32% more in the first quarter this year than last year up to 18,914 tonnes from 14,294 tonnes in the first quarter last year. The average weight reduced 7% to 5.1 kilo versus 5.4 kilo last year. The operational EBIT was DKK 287 million compared with DKK 472 million per kilo. This reduced to NOK 23.65 compared with NOK 50.56 last year. The operational margin was 24% versus 40% last year. Biological performance in the Faroese farming operation remains very good, very robust, solid growth, effective sea lice management, harvesting of large fish in all farms. There was no big deviation between the six farms which were harvested during the first quarter. The temperature in the Faroese farming Faroe increased more than normal during the first quarter this year. The deviation was 0.8 degrees in March which is the highest we have seen. We see good growth and strong biology across all farms in Faroe’s and feed consumption during the first quarter was record high 32% above the same period in ‘24 which is indicated on the graph below. In Scotland, the total harvest volume reduced 13% to 6,286 tonnes versus 7,263 tonnes last year. The average weight was all time high 6.7 kilo versus 4.7 kilo last year. The operational EBIT was 35% down to DKK 16 million versus DKK 24 million last year. The operational EBIT was NOK 3.95 versus NOK 5.13 last year. The farming operations have been characterized by good control, high quality fish sold to markets, stable numbers on all 11 sites that were harvested in this quarter. 90% of the harvested fish in this quarter was from Loch Fyne in the south. Exceptional mortality in the quarter was very low, close to zero. Temperature in the first quarter was 0.5 degrees higher than average last 20 years. The service segment had good result and continued efficient sea lice mitigation. The operational EBIT increased 44% to DKK 38 million in the first quarter from DKK 26 million last year. This corresponds to NOK 2.35 per kilo produced versus NOK 1.87 last year. The margin in this segment was 17% in the first quarter versus 10% last year. The sea lice numbers in Faroe’s and Scotland are well below the limit and target levels. Our dual freshwater system also kept good gill health for the fish both with reference to HD and general health. Sales and other segment, when we face the market as one company, this has enabled us in the first quarter to utilize our benefit to optimize Scotland to the US and China with the large fish that we have produced in Scotland. Volumes to value added products increased by 33% in the quarter from 3,300 to 4,400 tonnes. Volumes sold as head on gutted increased 14% to 20,807 tonnes versus for 18,261 tonnes last year. Total volume increased 17% to 25 tonnes from 21.6 tonnes and the operational EBIT for this segment was DKK 42 million versus minus DKK 2 million last year. This corresponds to a margin of 1%, NOK 2.57 versus minus NOK 0.16 early last year. The largest market is Western Europe but, in this quarter, we saw larger increase from Scotland to Asia and North America due to our one company approach which enabled us to use this opportunity with large fish from Scotland with 13% supply growth from Norway and 38% more head on gutted fish from Norway. As a result of less downgrades, all markets were oversupplied, particularly in the latter part of the quarter. And this affected the European markets which were flooded during the last part of the quarter. Faroe Islands reduced operational EBIT all-in-all to DKK 435 million from DKK 671 million last year driven by reduced salmon prices. Scotland improved year-on-year. Operational EBIT for Scotland in the first quarter was DKK 71 million compared with DKK 39 million last year. This was really positive development in a market with headwind. The strong results from Scotland are driven from large fish and better operations related to this fish group harvested in this quarter. However, we see that the summer prices have dropped significantly during the quarter and also going into the second quarter they have remained low, which will of course be negative in the second quarter. The outlook for growth in ‘25 seems a bit higher than what we expected last -- at last presentation when we said 5% which we have now lifted up to 6% to 7%. This reflects the good growth and the high temperatures we have seen both in Faroe’s in Scotland and in Norway. And less biological issues can be that the algae issues in Norway the last two weeks have impact on these numbers a bit early to say. In Faroe Islands, we increase harvest in this year and that's driven by high numbers of transferred smolt. Good robust biology, good growth. The large growth in European harvest will be or should be behind us within a few weeks at least and will come down to 2% to 3% in the second half of the year. Chilean harvest is expected to pick up in the second half of the year which balance out the supply during the year. So this leads to somewhat lower supply coming into the market later in the year. But there are obviously big differences in market segments and geographies reflecting the supply source. For Bakkafrost outlook, volumes are expected at 97,000 tonnes this year, 26% of the total harvest was in the first quarter, 22% is planned in the second quarter and 51% in the second half of the year. Our derisking strategy in Scotland continues with 68% of the harvest planned in the first quarter, in the first half of the year and low volumes until we have more robust smolt in our operation. Smolt transfer in Faroe’s at 18.5 million and Scotland 10 million. This is a growth of 23% compared with last year in total stocking. In the contracts, we are increasing our guidance slightly to 15% to 20% of the expected total harvest volumes. In the FOF segment, we expect flat development of sourcing of raw materials for fishmeal and oil. As mentioned earlier, we have now sourced more raw material in the last six weeks. So we are on par with last year, 220,000 tonnes received year-to-date. Prices on feed raw materials are expected to continue on the lower market price which is positive for feed cost and should bring cost of farming slightly down compared with last year. I think we have before mentioned around DKK 4 to DKK 5 per kilo impact. The strategy for Bakkafrost is to continue our derisking, improving efficiency and growth. So we are targeting 165,000 tonnes by ‘28 combined to grow sustainably with high focus on utilizing our competitive advantage and value chain. There are three major projects now in progress. They are progressing well. The Applecross Hatchery which will be done now in a few weeks or months at least. And then Skálavík where we will start stocking first half of next year, these projects. And then the Havsbrún feed factory which will be done by the end of this year where we are more than doubling our capacity. These projects are crucial to achieve our goals for ‘28 and beyond with robust smolt, best feed and good fish welfare. Thank you very much. And now if there are any questions.
Operator: [Operator Instructions]
Alexander Aukner: Hi, Alex Aukner from DNB Carnegie So just on the sales of meal and oil, which was quite low in Q1, is that going to be the same case in Q2? And also on the contract market. You now say you're going to increase the contract share, but what's it like signing contracts when the market is as oversupplied as it is today?
Regin Jacobsen : So with the FOF segment, when we entered ‘25 we were low in inventories. We have built up inventories in the first quarter, of course, depending on the sourcing in the second quarter, we will see how much we will sell externally. There will be some increased sales in the second quarter, I believe, as we have had good sourcing the last six weeks. Sourcing is depending on catches and also external sources because we don't have to boats ourselves. So that's why it's difficult to predict. And we need to have inventories, especially for the high season, which is in the third quarter into the fourth quarter, where we use more raw materials for our feed operation. So that's why we need to build up normally our inventories. This time of the year. ‘23 was an exceptional year. We have mentioned that a couple of times. So ‘23 is not a reference point. So we believe slightly better numbers in the second quarter, in the FOF segment and in the third quarter. Coming to contracts. I did not say that we are signing contracts right now. I guide that we think that going forward our contract this year will be slightly higher. The time of signing new contracts, of course, we will try to optimize in order to make sure that's not reflecting the lowest price in the market.
Operator:
Christian Nordby: Christian Nordby, Arctic Securities. In terms of the warmer seawater temperatures you're having in the Faroe Islands and also in Scotland now, do you view this as for the time being as an advantage or a disadvantage or is it neutral for you?
Regin Jacobsen : Good question, Christian. For the first quarter and during April, it has been very, very good on feeding. We have seen feeding rates that we have never seen before in this quarter. Sea lice numbers have also been slightly -- there's been slightly more activity on treatment. But with our capacity with freshwater dual treatment systems, we are handling that very well. Very low mortalities, very good fish welfare, good quality on the fish. So at the moment I think it's positive. Of course, we don't like changes in the environment. Whether or not this is outside a normal picture, it's difficult to say. At least in the Faroe’s, we have not seen in March, the temperature we saw in March was higher than what we have seen in March any year. Otherwise, the last 20 years everything has been within normal deviation. But March this year was slightly higher. In Scotland, the deviation is within what we have seen the last 20 years. So I see it at the moment positive, but we will see.
Regin Jacobsen : Okay. Thank you very much. Thank you for the questions. Thank you for coming. Thank you.